Operator: Good morning, everyone, and welcome to the Coca-Cola FEMSA Second Quarter 2015 Conference Call. As a reminder, today’s conference is being recorded and all participants are in a listen-only mode. At the request of the company, we will open the conference up for questions and answers after the presentation. During this conference call, management may discuss certain forward-looking statements concerning Coca-Cola FEMSA’s future performance and should be considered as good-faith estimates made by the company. These forward-looking statements reflect management’s expectations and are based upon currently available data. Actual results are subject to future events and uncertainties which can materially impact the company’s actual performance. At this time, I will now turn the conference over to Mr. Hector Trevino, Coca-Cola FEMSA’s Chief Financial Officer. Please go ahead, Mr. Trevino.
Hector Trevino: Good morning, everyone, and thank you for joining us today to discuss our quarterly results. This quarter, our company delivered strong results on disqualifying increased transactions which outperformed volume growth in most of our markets. In market share gain, solid pricing franchise per referrals and largely expansions in almost every operation particularly in Mexico, Brazil and Argentina. Our operators were able to produce these outstanding results despite the continued weak consumer environment in key markets such as Brazil and slowly recover consumer in Mexico and the foreign exchange rate volatility in the Latin American region resulting negative translation effect and pricing pressure on our dollars denominated raw materials. In order to provide our investors and analysis with a full understanding of our underlying operating and financial results. Historically we have achieved performance measures - the non-comparable effects of acquisitions. Going forward we have proved this concepts together with the elimination of the results of international economies province of the comparable. For the quarter, comparable consolidated revenues grew 8% while comparable operating cash flow grew 9% expanding margins to 21.1% and comparable earnings per share to 5% despite the foreign exchange loss resulting from a devaluation of the Mexican Peso as applied to our U.S. dollar denominated net debt position. Our innovative packaging and the strength of our portfolio of the turnover presentations. Global - our improved marketplace execution and the strong brand of Jugos Del Valle our Coca Cola balance portfolio - generate increased consumer transactions and close every market except Brazil. Our total transactions outperformed volumes by a niche 1 percentage point in every market. All this going, our company’s ability to provide our consumers with the right brand and the right package at the right price and in the right place. This quarter we generated more than 6.5 billion transactions across our 10 franchises with even in the roughly 33 million consumer’s interactions to every base. Furthermore our improved focus and intensifying our connection with our consumers and reinforcing our point of sale execution has also labeled us to either maintain or gain share in the sparkling beverage portfolio across every operations, while we're building our position in the non-carbonated beverage category. Our financial and operating discipline along with our ability to tailor our portfolio on pricing - product to the current consumer and macroeconomic environment enable us to continue to improve our results in every market. Mexico where we faced a slow consumer recovery and soft weather conditions in May, we deliver solid top-line growth increasing our other - unit growth by close to 6% and growing our sparkling beverage volume by more than 1% while expanding the number of transactions in this category by 2%, to purchase - and Fanta. In complementary, our top-line performance with 5% growth in the non-carbonated beverage category did grow was mainly driven by the Del Valle brands, the uses and - which move volume grew by more than 20%. The Santa Clara dairy business which grew more than 120% and we continue to expand its’ popularity to our company - and have started selling in - channel. And finally, volume grew by 10% all of which built flat volumes. Notably we continued to maintain market share in the sparkling beverage category while gaining share across key non-carbonated beverage segment such as juices and mixes all rather - and sports drinks. We have now reached 51% market share across our territories. Our continued ability to contain cost and expense coupled with the benefit of our currency hedging strategies and positive tailwinds in key raw material prices and operating margin expansion of more than 50 basis points. This is excluding the effect of the equity metrics from our Philippine operation and our non-carbonated beverage. In Brazil both our volume and transactions declined 3% as a result of the continued deterioration of consumer sentiments and the contraction of the disposal due to roughly inflation and higher unemployment rates. We continued to see positive results from our affordable portfolio strategy. The volume of Coca Cola and Fanta in returnable these packaging grew more than 28% and 13% respectively and we continue to expand the cover of this presentation. Additionally the volume of our affordable one way 200 and 300 packages grew more than 31%. We are enforcing our water and non-carbonated beverage portfolio by focusing on improving the coverage of crystal water, Del Valle juice, Valle fruit oranges and they are used our tea brand. During the quarter these brands recorded relevant volume and transaction growth and the market share trends are volume positively on a sequential basis. It is important to highlight that we continue to gain market share in both colors and flavors despite the more aggressive competitive environment. Our improved harvest price per case in line with inflation coupled with our proactive currency hedging strategy and improvement in key operating indicators continue to generate the efficiency to emphasize to improve our Brazilian franchise operating cash flow, cash flow margin by 40 day basis points. In Colombia we have standard our portfolio positive track record of volume growth to 11 consecutive quarters. While our number of consumer transaction growth in line with our volume growth. The performance of our sparkling beverage portfolios was supported by 10% volume growth in most of our flavors sparkling beverage and stable volumes of brand Coca Cola. Our volume grew 7%, thanks to the performance of the - brand. The volume of our non-carbonated beverage portfolio grew 12% supporting by a 17% increase on Del Valle fresh oranges and 9% growth of - Our harvest prices per unit case increased ahead of inflation generating high single digit revenue growth in local currency. Supported by our improved point of sell execution and increased cooler covers we continue to gain market shares in sparkling beverages and juices this quarter. In the short-term as we complete the first sales of our new state of the art production plant in Colombia. We continue to operate the $15 top-line. This in combination with lower comparable marketing expenses in 2014 had generated slightly margin pressures at the operating income level during this year. While our volume remained flat. Our operated delivered 2% growth in consumer transactions while gaining close to 2 percentage points of market share in the sparkling beverage and close to 3 percentage points of market share in water and - The volume of brand Coca Cola grew more than 6%, compensating for a decline in flavors sparkling beverages as we continue to prioritize production of our fastest moving FTEs. Despite the continued complex operating and consumer environment, our revenue management capabilities and the improved focus on efficiency enable us to generate on operating cash flow margin expansion. In Argentina, our volume increased more than 12% thanks to growth in every beverage category. Additionally our consumer transactions outperform our broadly - by more than 2 percentage points. Brand Coca-Cola continue to gain share marginally with 3% volume growth - in transactions supported by our six - representation and we import colors from our true leader with term level impact. Supported by our internal strategy and consumers increasing preference for Sprite, our flavor is partly lowered volume and contractual grew more than 26% and gain more than 3 percentage points of market share. We also continue to gain share in the water category with volume growth of more than 45% supported by flavor water and we continue to search of - has fee oriented and power continue to grow significant rates of growth in non-carbonated beverages. Notably power is more than double its market share year-over-year to reach over 30% of the sport drink category. Our ability to take our portfolio - to satisfy our consumer demand, our financial discipline and our continued investment in manufacturing and work enable us to improve our operating cash flow margin by 250 basis points this quarter. In Central America, our volume declined slightly for the quarter as we move through share - year-over-year comparison of more than 7% growth in the second quarter of last year confronted largest consumer environment and more intense competition in Cost Rica. In - a slowdown in economic growth rate in Panama not only our consumer transactions outperform volumes by more than one percentage points in the region. But this really supported by our positive performance in Nicaragua and Guatemala. We recently implemented revenue management initiatives that enable us to more than offset local inflation in most countries while continue to gain market share especially in sparkling beverage. Coupled with our tight control of expenses these dynamic allow our Central America operation to improve its operating cash flow margin by 120 basis points this quarter. In the Philippines, we delivered positive results in terms of volume transactions, revenue and more important profitability. While our volumes grew 2% our consumer transactions outperformed this growth by approximately one percentage point. Not only as we continue to focus our portfolio our cost in sparkling beverage generate 7% volume growth and 11% growth in consumer transactions supported by the important of our successful one way serve packages. Moreover, through this - volume we have gained greater flexibility to adjust prices in this part of our portfolio while we are focusing on our turnover portfolio with the launch of - and new taller and slimmer - with turnover less borrowing for brand Coca Cola offering a more competitive brand positions for both our retailers and our consumers. Within this partly in various categories our mix of one way presentation has increased flow to 5 percentage points compared with the same period in 2014. While our mix with single representation have gained 350 basis points. Our average price per unit case grew more than 11% supporting 14% in the second quarter. Not only June-March, the fourth month in a row of positive results in terms of profitability. We are certain that we are on the right path to sales and profit of our transformation of this important market. Moving on to our financial position on performance, our comparable earnings per share grew 5% reaching $1.23 while our reported earnings per share was $1.29. The main factor affecting awareness personnel share with a foreign exchange loss regretted to the depreciation of the Mexican Peso as applied to our US dollar denominated net debt positions of $700 million. For the last 12 months ending June 2015, our net debt to EBIDTA ratio was 1.95 actually 1.94 times slightly higher than the December 2014 period. The main factor continues into this increase was the effect of the revaluation of the Mexican peso on our US dollar denominated net debt position and the reduction of our cash position resulted on the payment of the first installment of our 3.2 billion Mexican pesos. As we roll out the transformation of our company's operating and management model, we are also implementing initiatives to accelerate top-line growth in each of our markets, while protecting the profitability and cash flow generation of our business. In Mexico as we celebrate the 100 anniversary of the Coca Cola - we saw an excellent reason to continue supporting the top-line growth momentum that we have generated so far this year. Supported by a comprehensive multi-million campaign we would commemorate the anniversary of this iconic bottle with a few of segmental promotional activities and temporary packaging in and out focus on generating single sale transactions. Covering every channel and lasting one through the third quarter. In Brazil, we continue to focus on affordability. We will enforce our existing colors of returnable packing for the coke - and Fanta brands. We will further expand the turn ability to regions and channels that currently do not enjoying its benefits and deploying relevant promotions for our consumers while we reporting our flavors in the portfolio expecting to continue gaining market share. We also recently bolster our juice portfolio with - and new affordable offering and as a single layer Del Valle juice to offer value added features such as - becoming and fiber content with sugar. Additionally, we launched new presentations of our lay out tea brand to complement and to continue successful capturing market share in these categories. In summary, - we continue to deliver solid performance across our operations despite of the challenging environment. With new transactions and volume performance in most markets while improving pricing of our inflation. We maintain r gain share in sparkling beverages and gain shares in relevant non-carbonated beverage categories. Despite the substantial currency volatility, our hedging strategy on several prices of raw materials allow us to expand gross profit margins in every operation. Comparable operating income grew 19% highlighting equity gains from the Philippines operations and sustained margin expansion in Mexico, Brazil and especially Argentina. The Philippine is positively on delivering increased profitability as we continue this operational transformation generate positive transaction growth and pricing in core sparkling beverage. And we delivered substantial volume on revenue growth for Santa Clara our diary operation in Mexico. - Point of serve progress in the traditional trade through our specialized sales force. Across every market, based on the stronger operational infrastructure and our financial discipline our teams commercial leadership will continue to capture top and bottom line growth opportunities to strengthen our cash flow generation. As always thank you for the continued trust and support in Coca-Cola FEMSA and its management. Operator, I would like to open up the call for questions.
Operator: [Operator Instructions] And we'll go first to Luca Cipiccia of Goldman Sachs.
Luca Cipiccia: Hi good morning. Thanks for taking my question. Two really one on Brazil and other one on Mexico. On Brazil my question is the following, we're seeing in the second quarter as it was it is in the first profitability gains been maintained in spite of volumes declined have moderated but still represent the changes and the difficulty in the market. So my question is the follow if you were to go an additional downside risk in demand is maybe the case. How confident you are that this step improvement that was seen from margin is to be sustained in other words how - it is maybe if you can comment on that as the situation evolves in Brazil and possibly there may be additional downside at least volumes. And then secondly on Mexico maybe you could clarify what is in the strong revenue for unit case growth that you posted. What is the split between actual pricing and mix itself, which clearly with the divergence in performance of the categories played quite a big role as you also see in the press release. So this two would be my questions.
Hector Trevino: Good morning Luca. We feel what we are seeing is a consumer that is still affected by all the increases in price and prices of things like that - and gasoline prices. What we have and - that we have been developing for several quarters now is to focus on the probability. That’s why for the last two or three quarters I have expressed a lot importance of return on packages in Brazil. The upstream, they move production plant in - help us to have a better cost structure as we take turnover - to that part of the country. We have to remember that in Brazil, the distance is as you know that it's a very large and transportation cost are quite expensive. And we believe that focusing a lot of this - presentation will help us to achieve this affordability for our consumers. You're right that those are possibilities that volume can and might continue to be very soft. But we think that low cost structure of the new plant will help us in the margins as we explain in the last one or two quarters. In Brazil, we - also by the very good performance of Del. And in all private vendor as well - little bit stability of our Brazilian operation. So with all these factors that feel as I looking for all that - will be on the rate which we can see substantially to rest of the deal and provide a big portion of next year. But I feel that our company is much better prepared to confront that difficult economic environment then will be - of some of the distribution centers happened in some of the investments that we did last year and also the importance of the production facility that we have in -
Luca Cipiccia: And then just before on your comment about your performance in Brazil as that something that you have changed in the strategy there and how do you explain that considering the demand environment?
Hector Trevino: I think that what we have capital is that for us remember that brand Heineken is an important element in the portfolio and very strange for that what is happening is brand Heineken going very fast and that has to do probably with the fact that the consumers is not effective on the lower income part of the population. So there is not especially the changes to Heineken brand have very good traction on our territories.
Luca Cipiccia: Okay. Thank you.
Hector Trevino: And in Mexico we expected the price of course I think that I mean what I consider is I think that Mexico performance is very good here in the - and in spite of increasing prices last year because of the cash flows captured inflation that 15% 16% price increase of last year and if I correct it along March or April of this year we increased our 4% on average the prices. So, the 6% growth that you’re seeing also the two third is to do with the extra price increases on mix. Doing this parts of the year we have seen and we of course throughout and the importance lot of, and that also to do with the fact that we have tried to capture - and we have been on and often increasing prices to prepare the market on - have better margins in and so by the way resulting in the why the importance and it uses on negatives - on to rest to the growth and that was well being on the price mix for
Luca Cipiccia: Thank you very much.
Operator: We’ll go next to Antonio Gonzalez of Credit Suisse.
Antonio Gonzalez: Hi. Good morning. Thank you for taking my question. Just two quick ones. The first one in terms of gross margin as you highlighted on your prepared remarks there is been an expansion across territories year-to-date. I was just wondering if you can walk us through - positioning in terms of hedges second half of the year and whether you would expect this gross margin expansion to be sustainable. And secondly just coming back to Mexico I appreciate that water might have been year-to-date in terms of volumes both also the comparison based what is here in the first half of the year you might argue you had some government spending ahead of election that also helped in the first part of the year and now these elements are absent in the second half. So do you have anything you can share with us on how would you expect volumes in Mexico to improve in the second half of the year and is there any figure that you’re targeting in terms of volume growth in low single digits mid-single digit growth for the coming six months? Thanks so much.
Hector Trevino: Good morning Antonio. Let me first on the growth margin. What has happen to June is that we have the several impact of growth material that have been lower in prices in dollar terms but on the other trends the FX volatility that we have seen in the Venezuelan - at the end of that when you compare Mexico June versus June that’s likely we had a relative of the Peso and the Colombian Peso and the Brazilian Real have the value close to 40%. So even from the impact on gross profit plus the impact of translating Real and the Colombian Pesos into Mexican Pesos has the impact and - is on the numbers. With respect to gross margin which drive the benefit of because we drive the benefit of because we have a very discipline way of looking at hedges and more or less we have between 50%, 60% of converted and a little bit more than that in Colombia hedged during the first semester. We normally - for the following three months very close to 60%, 70% of the dollar raw material or mix shift and that we move fairly on a 12 month horizon we have as little as 30%. For the next six months, we have in Mexico somewhere around 40% already covered what I consider during the region reason especially - to raise dollar prices at very good rates somewhere around in the 50.3 pesos per dollar, but that would go basically on 40% it is closer to what I mentioned 60% in the next few months and somewhere around 20%, 30% in the fourth quarter. In Brazil we have similar levels of hedging at levels very close 3 reais - per dollar and a similar amount of percentage of the hedge, somewhere around 40%. Colombia is similar again it’s like 50% in the third quarter and 30%in the fourth quarter at levels that are also attractive compared - and as I mentioned we have a very disciplined approach on growing some of our business. We probably started somewhere 2016 where we have close to 15%, 20% of our revenues growing for the first quarter of 2016 the first half. So we went back, I’ll say that we have opportunities expectations in terms of the gross margins portfolio rest of the year. I think that even though we have seen a higher volatility on the foreign exchange markets where we have a good percentage of our raw materials of the dollar - being hedged. I’d like to say that for example in Brazil where we do some hedges for - the hedges probably are related to the other side - last year and prices for sugar has come down significantly so we have complex way and implicit sugar price also in Brazil but it's higher than the spot market so that's the way it goes and the way we have look at this alternatives is to try to minimize these risk on volatility on some of these on the prices of the raw materials. And second question probably has to do with Mexico?
Antonio Gonzalez: No, no please go on…
Hector Trevino: Okay. I think that it's a digital profitable and regarding that we have seen some areas of our broader performance of the second at the - that will call for a better performance for us in the second part of the year. We are seeing some number good numbers and in that numbers I terms of same store sales for the supermarkets and grow some more company's reported good numbers in terms of volume. Whereas we look at cash flows we just have the 20% versus a year ago. And we also - our 40% versus now. So that are some implications that the economy will do on the EBITDA. My expectation is that we will be in the low teens and not seen be - an important recovery as now that we got to be reminded that how the consumer we got are very large pricing these that's going last year. So at the end of the day the consumer despite a June is staying 20% more for a comfort of the we have the were in the year ago. So that has certainly people with very low growth number. So my expectation for the second half of the year in terms of somewhere in the low-teens in terms of volume. We will continue to grow and good opportunities for revenue. The revenue growth and - we can improve municipal workflows. But that's now it's going to be reality for our issue in the second half of the year. Comparative wise we are increasing our market share in most of our categories. In the Mexico - we have very tight market share in all of the categories. So in those cases we are maintaining market share. And so we look at newer categories we are increasing. But I think that the very important highlight is that despite the very high price increases that we have had in our approach we're seen through some growth even it might be low single digit rate but some growth in the volumes for the second half of the year.
Antonio Gonzalez: Right, you would not be over yet with the adjustment in water between now and year end correct. It might probably take the next six months to be adjusted in the water business.
Hector Trevino: Yes. And the water business is, we obtain to move out - from having it probably been sold as a commodity. So we are trying to have a differential pricing it's very tough because we take system used to a lot of promotional activity not so much the consumer. So that as we are giving the brand we think that we will have the possibility some priority differential. And the water that they we haven't been able to have a price that as we have this approach. So more would be on this whereas the beautiful market on this investment. So we'll see what are seeing on that by the way it's important - it's important - with volume with price. And we are okay with that because of - profitability which is moving in the right direction. We are adjusting those prices so that we look to find the right balance of price and volume and - okay. So you’ll see some volatility still - on the water volume what I see that profit wise we are moving in the right direction.
Antonio Gonzalez: Got it. Thank you so much, sir.
Operator: And we'll go next to Carlos Boy of HSBC.
Carlos Boy: Good morning everyone. Hector, can you give us a more insight on the pricing. Is the pricing strategy your choice or is the consumer weak demand kind of forcing you somewhat to use this pricing lever maybe a little bit more than you would like.
Hector Trevino: Good morning Carlos. I think that in general as we're saying to - we look to right to find the right balance with volume growth on prices but definitely more questions - pricing level is very important for us. And the consumer that is kind of risk that we assume in Brazil would a lot of - Mexico not so much. It seems like Mexico is moving to - a problem is even though just the recalling. We look at the pricing levels and trying to focus on transactions of where the price for transactions and we are trying to move to single serve presentations. But trying to find that balance between affordability, volume, consumer sentiment if the digital type of and business. But - about it. Pricing very important levels that we need to be focusing. So that selling leaders trying to focus in the right - on the margin a continuation of a transaction that within market place.
Operator: And we'll go next to Bella Seminado [ph] of Bank of America-Merrill Lynch.
Unidentified Analyst: Thank you good morning everyone. I have two questions first in Mexico at if you could give us a little bit of color how to volumes performed within the news channels I mean between the traditional channels and the others there was difference there. And second was the how did you feel the price elasticity in the first half after you increased prices again? Thank you.
Hector Trevino: Good morning Bella. Let me start with the price elasticity breakdown of the traditional volume versus modern trade volume. I haven't seen a specific trend that would call my attention on that - on the volume difference in the traditional and margins of - work stable without - share that information with you later. On the price elasticity I think that we are still looking at a category that is growing I mean - you look at this specifically during the quarter, the increased price is around 4% and this grew around 1.5 on the 42%. So we are still seeing a category that is very resilient to the macroeconomic environment and to the fact that we are increasing those prices. I have to say that also some of our competitors have increased prices because of you see raw materials and the effect in the cost of raw materials. Our competitors also increased prices to compensate for the margin pressures. So let alone moving prices during this quarter but I still see that is elasticity being - our category being very resilient to some of these price increases. As I said the very big challenge was largely with increased close to 16% but we continue with our idea of at least maintaining inflation - prices - and we continue to see growth in this year and I would last go into to prepare a table - traditional channel and more than - in the top of my head. Thank you.
Hector Trevino: That's right. Thank you.
Operator: And we'll go next to Andrea Teixeira of JPMorgan.
Andrea Teixeira: Hi. Good morning there. Thank you Hector for taking my question. So just to clarify you sound that more optimistic into the second half. And I was wondering you believe that in the recent and the most recently numbers that you're getting from the trade. There is seeing better the volumes or and then the balance between pricing and volumes you've seen better conditions there. I mean I don't see your competitor coming out with numbers. So I was wondering if you can comment on market share trend or you believe that's mostly a total volume or total growth in Mexico. And then if you can comment obviously you're going to have this the slight change there in Brazil for taxes, it’s not going to be a major but if you're trying to take on more pricing in Brazil and just I mean the body language and the comments that you've made in the previous questions has been I think indicating that. But if you can be more specific if you're seeing real price increases or it's going to be mostly to offset the slight increase in excise tax there. Thanks.
Hector Trevino: Good morning Andrea. I think well, let me start first with Mexico. Well as we look at Mexico it’s retaining some of these questions and regarding competitive environment. First of all I think we have to remind that our main competitions will be a 100% in --. So the impact of our employment chain movement it's you can now use the how you're on then the gross is been our internal presentation as we use several times the containments that we have for that boarders. So some of the competitors have increased prices also and that’s an important element here. The market share region as we have that will be delayed but I think that we are - for June. It's initiated this we are basically flat with very good numbers that we have juice are increasing in market share and in sport things we are increasing market share we are losing every - on the --. That we really that we have to a market share but I think that we look we look to wait and see how the competitors support on their volumes. I think that in terms of the - we see the Coca-Cola system in Mexico is very similar --. We are probably a little - at that and volume growth was to some of our peers with in the Coca-Cola system. As I mentioned this is growing also very importantly from a very, very small base. In days we have around 300 dedicated rights that are selling juices - on this to customers. And we are seeing very good traction on those specialized --. But we have this changes in that and that's so far the customer impacted at the amortization tax will be slightly higher than what we have. And that was here that we need to adjust that price to the consumer. We believe to manage our portfolio as they - have to maintain some of the marketing prices price points. So we are doing everything we can to maintain to one-two and three drag for on this small presentations. And obviously to return our - also plays a very important role in volatility. And then we try to adjust the all the presentation with some of it is more than the short --. So that important we pass along this tax impacted to consumer is very volatile - month, but it's a very small impact that we'll have because of this change. Okay.
Andrea Teixeira: And also just on the - and I appreciate the comment on Mexico, but on a sequential basis like as you breakdown the 1.1 volume 1.3 I believe on the CST side in the second quarter. In terms of April, May and June did you see better conditions are because you’d no longer had the all action I know some of their people like talk about the economy was strong in the second quarter because of our action would you see evidence of deceleration in June or no. I mean if you try to as much as you can be whether there how did you see the evolution in the quarter?
Hector Trevino: As people to be whether to trust but I think some of the trends. April we have a month that what kind of - we have the - during April. May was the bad month because we believe because of the weather and June was opportunities month and its all-in-all we have this one points and so wherever on isolated the effect of the water. July we are seeing during the possibility growth I don’t think that these so called - impact has got in the specific movement in our So, at the end of the day we have flat of likely possibilities April and May that was again kind of above and June performance.
Andrea Teixeira: Great. Thank you very much.
Hector Trevino: Thank you.
Operator: And we’ll go next to Ian Shackleton of Nomura.
Ian Shackleton: Yes. Good morning. I was keen to little bit more around to Philippines because it looks from the associate contribution that has gone back into pretty good profit growth I just wonder that was sustainable whether you still felt that was a need for reinvestment over the next few quarters?
Hector Trevino: Good morning Ian. Yes, I see that trend that we are seeing in Philippines is a positive one. And on the previous quarter we have mentioned about the investment we were going to compare the Philippines or to work and allowed to market to portfolio on the supply chain. We will continue in some production lines, we have our Board meeting couple of days ago and we request to some of the regional - to potentially best of next year couple of production lines one for and one for water. So we continue to look from investors definitely. We are seeing important growth in volume in Cola brands that mean Coca Cola, Fanta, Sprite even which is not - it’s a value brand that Coca Cola company launched [ph] many years ago for playing very important role in the Philippines and when we look at those brand growth is very important. We have what we call volume - and that’s basically what Cola which is the Cola brand that continue to reduce the importance in our mix and another one called - which is kind of an orange flavored drink that is also losing some market share. Sprite is carrying a tremendous performance in the Philippines and the Philippines one strong competitor that we have is Mountain Dew that is playing a very important role so Sprite is our - product. So in general we’re seeing very good positive trends in the Philippines with respect to volume. If you look at the numbers we are increases importantly the 12% revenue number is basically 1% volume growth and 11% prices. So, that’s also part of the strategy that we design few years ago starting to get the habit of the consumer and the consumer for some of these brands and then slightly start to move prices and changes a little bit mix toward presentation that - pricing for. My expectation for - is still with very low profitability levels because it's - black versus using morning as we were few quality you can feel that very long levels of profitability to be - operating - higher new level. So my expectation is to continue investment yield by yield improving that margin. But the good news is that now we have 4 quarters with positive operating norms.
Ian Shackleton: Very good. Thank you.
Operator: And we'll go next to Jéronimo de Guzmán of Morgan Stanley.
Jéronimo de Guzmán: Hi, good morning. Just one question on the margin when I look at that the margins in this quarter the margin expansion was driven by gross margin and relative to kind of what of what we saw in the first quarter. The thing like there was more pressure on the SG&A side in both regions. So I just wanted to see, wanted to under what the incremental SG&A pressure and kind of how you think about that SG&A going forward?
Hector Trevino: I think that the issue is that the - I think that we have very good trends from the SG&A. Two issues to highlight that are still affecting the SG&A, one is in Colombia the larger - the cost of the - because of the - what we call the plant Colombia and the Coca Cola company was completely a suspension that normally on marketing in Colombia was very low and we are now on a level that is the appropriate level. So that's more of - versus large against the Coca Cola Company was having a higher portion of the marketing expenses than normal during 2014. The other issue is because we have all these what we call the - we do have from one time that are respective the SG&A as we are reducing the number of deposits in the company to look for this efficiency. So hopefully one next year we'll see - onetime expense with respect to severances but the rest of the SG&A - specific highlight that is worldwide commenting.
Jéronimo de Guzmán: Okay. Thank you.
Operator: And we'll go next to Alex Robarts of Citi.
Alexander Robarts: Thanks. Hi, everybody. Two question basically on stills and then Argentina. But there was on clarification, you said earlier I just wanted to understand instead talking about second half, demand of volumes in Mexico you said something that low teens that I understand was the metric or the growth, what you referring to and did I understand that right maybe you could just remind us what the thought was there for second half and volume in Mexico.
Hector Trevino: Mainly low teens will be about that - low teens will demanded in Mexico and - that I did mention low teens. Sorry about that confusion.
Alexander Robarts: No, I just thought maybe you would time at Santa Clara or something. But volume still. So the first question is really on stills. I mean coca cola mix it highlight yesterday in emerging market for them they actually mention Santa Clara as you did today. And I guess kind of the big picture question I had on this one was when you think about over the last ten years you’ve created these joint ventures - with Coca-Cola the thinking that its faster growth from lower caps per cap consumption could really be an important part of the business and the profit tool when I look over the last five years and kind of just to check at this morning. It looks like still, which is the part of your portfolio that’s growing into the second quarter and first half as well year-on-year but still 5% of your Mexico volume in the last five years and 4.5, 5% of the Brazilian volume and I guess the question is that is this kind of where you thought you’d be at this point, it seems to have that faster growth but I wonder from an economic standpoint are you getting the profit that you thought you would as far as margin we can’t really see it the way you accounted for it. But is it still in the ramp up phase do you see there’s a lot more that needs to be done what can kind of start to have a measurable impact and perhaps is not organic growth way to go I mean today you saw the juice acquisition in Brazil from the European beverage company, could you comment little bit then on really the role or the kind of your- self report card on how stills are doing economically in the business for you and whether non-organic might has to be something you turn to the kind of speed up the growth? So that’s the first question.
Hector Trevino: Good morning - again so - let me talk a little bit about stills. - In every market that smoked out it’s growing at faster pace - first point. The second point is all those - is growing from a small base so its stills and you’re right there’s 5%, 6% of the volume in Mexico depends on the regional is similar in size but again growing at a very fast pace. If you want to look back at one that we look quickly of our own planning decisions and all of that the stills are some other product of our business that is what we said up five, six years ago. But what is happening also stills continues to grow at a very sensitive flow to most of the market so when we’re doing the planning decisions - residuals to grow on and - for the company also maintaining the region in 2010 and we’re expecting stills to play a bigger role or bigger share of the volume in transactions on the - and it’s not that we’re not happy with the performance of the still is that it is - continue to grow and as stills are growing at a very sensitive rates but not reaching fairly the lower - . And third one the bottom also to mention that the economic model or the relationship that we have with the Coca-Cola company we believe it’s a positive one on those short term plans on the profitability - because of number of factors-- profits which remain important - with the Coca-Cola company but also we have - of more complex group of raw materials we have juices I believe we - in different parts of the world etc. but that the formulation of the process is more complex and therefore more expensive. But the other side of the corners is that on the 50:50 basis with the growth on the Coca Cola Company so when you look at the return on the investment on the assets that we got I think that is quite similar to what we have in the something. It's not quite how it all very similar and it’s not quite because of the scale that this have - business guys on the magnitude - they use in the different categories that we have within --. We still need to do production bank that have more brand to support to the - of Coca-Cola 24/7 in our production plants. And that also have - to and the efficiency that we are coming. But we are very happy with the performance of the stills and we have recognize that is not as large as where we are - as we use --. But we have to put on it.
Alexander Robarts: Yeah for sure but just on a non-organic side, do you think you might be in a looking for some but for some targets it looks like there was one that just got sold this morning at least the public announcement was in for juices in Brazil. I mean is that something or is that really you want to grow this business organically and how open to you are you to M&A in the stills.
Hector Trevino: Remember I think that first of all e are 100% aligning with the Coca-Cola company because of the company have this the area of the business that is doing acquisitions in some of these food categories. And one of these examples is water and other example with what we are doing where in by the demand. So we are certainly offering for more M&A activity as I mentioned the 100% aligned with the Coca-Cola Company is in best. But we do see opportunity there in the future also of course.
Alexander Robarts: Got it okay. Very, very helpful indeed. The last one was there in Argentina I mean very, very robust quarter in this quarter Coke bottler last week showed something similar. And Chile in brewer as well showing very robust volumes in the second quarter in Argentina. And just wondering to the extent that this is a kind of more of a one off situation that's pre-election type of environment with some extra spending in the street so to speak. And then kind of a little inflation has come down with the last few months still high but it has come down. Is there something beyond this that might kind of allow us to think a second half could also be this robust volume recovery in Argentina obviously? It's tough to get out too far in the forecast there. But I mean is it something more in - side or is it something with the retail channel that has changed that is kind a giving you this is seemingly interest in the Boost and in beverage demand it's you're kind a comment on Argentina in the outlook in volumes and what's driving your strong number there.
Hector Trevino: I mean in Argentina we have for the last two or three quarters very, very good performance in Argentina. I would tend to think that you have to do more with our strategy than do this time because of their licenses are coming at the end of the year total. And let me give you few examples, we have been working with internal presentations importantly, and that has read for simple internal is growing for the second quarter at a pace of around 37% it's a very important growth. In Sprite which is a brand that is competing with a very strong 7Up that is a leader in that category which is also growing close to 30%. Water we have - shift in water but it's also helping us to grow in that market. Power as we mentioned in total that the market share numbers. So we are seeing people we are seeing to do the right things at the right moment. We did some investments the production capacity and the warehouse basically increasing the flexibility of our operations to manage these additional volume. And from macroeconomic point of view, we are seeing the consumer and the inflation levels that we are getting everyone is kind of expecting the - of the currency once the election is over when we have the - would look at some areas of the economy like construction is growing very importantly. We think that is more of the hedge of using the - buying some so it’s kind of very difficult to why the is performance of why our numbers are doing even better that the industry but those are the trends that we think that even though we have potentially the evaluation of the currency in the next year, we think that the in a much better change 10 or 14 years ago the price is because if there is no much in the countries it was will very many years and on the is low to get rise to what we have ago so I think that the countries in a better shape to confront situations but no it looks like everyone is very but why the elections are all moments on the rates in terms of the evaluation of the But in general while the consumers buying on this we tend to think that parts of these economy and parts of this is the strategy that we have implemented as I mentioned with the liability which try to with power in the marketplace.
Alexander Robarts: Okay. Congratulations. Thank you.
Hector Trevino: Thank you.
Operator: And we’ll go next to Gabriel Lima of Bredesco [ph].
Unidentified Analyst: Hi. Thank you and good morning all. I want to go back to these question on the Philippines because when we look at this line where you report your JV as the results of your JV is right. I think this quarter you posted if I am taking the best result historically basically you came from 100 million lost last year and all and almost 200 million gain this year in the second quarter. So, just wanted to understand what has driven this gain because I thought it was the Philippines but as far as understanding our aims the Philippines is doing well but margins are not really, the evolution of margins is gradual and they are still on the mid-single digits. So, just wanted to understand the dynamics of this line that was important this quarter and then I think was very good result there?
Hector Trevino: Good morning. We would describe on the basically the effect of Philippines the fact that we have lost larger - about the afraid of some of the typhoons and how the transportation cost were very complex. We have much weather control on the transport - transportation cost on the Philippines. We also have the effect thereof - and while we produce we saw great because much of the profitability while selected in the operating numbers what was reflected in that line is the percent of ownership that we have on the net income of the company that has very, very low margin because of the models that we have in Mexico. Also the profitability - with the Coca-Cola company in the bottles and will widely have up 2% 3% margins. So very, very small impact that you have in that 90% food --. So again the important that you see in that now even though we have very low positive margin and very low margin there is in the field which is the part that we are now gaining we have a positive operating income versus a negative operating income that we have last year in the --.
Unidentified Analyst: Okay so its sounds like we should expect positive results coming from that line going forward.
Hector Trevino: Yes that's my expectations that to continue to have and improving margin is still from a very low base.
Unidentified Analyst: Okay so just lastly can you remind us why the South American margins are pretty much half of their imaginative margin you're making in Mexico. Is there I believe it's not Argentina so is there the specific country where you have this drag in margins in South Americas in Brazil or Columbia. If we look in a very long-term basis is it possible to see the margins in this specific country ramping up to your consolidated levels thanks.
Hector Trevino: Okay. It's basically I think that its I mean for many years Mexico has been with most profitable market that we have and it continues to reach our - its. In some cases this is double the margin that we have versus some of we have all the South American operations that just have to do with the scale beside that we share of - and Mexico's senior - for --. Some of the pricing and the cost of the we have because often times we find that it will go from South American operations we have better pricing that Mexico because its structure is solid. And so its multiple factors it’s very difficult to say what for example Mexico is in excess of 20% operating income margin. You have Colombia because of the Pan Colombia moving from somewhere around 18% to 12% now in - of - to around 11% and 12% in this quarter. But I feel that's under low margin. Argentina have a double digit margin but it is around 40% to 50%. So it's a multiple factors. Everyone looks at Mexico as base for us will be trying to and we make sure everyone trying to keep - as we get closer to the margin that we relates. Sometimes for simply take for Argentina and Guatemala labor cost is very expensive compared to what we have in our country. And that sure that if I - that by the effecting that way.
Unidentified Analyst: Okay, that's helpful. Thanks guys.
Hector Trevino: Thank you.
Operator: And this concludes today's question-and-answer session. At this time, I will turn the conference back to Mr. Hector Trevino for any additional or closing remarks.
Hector Trevino: Okay, thank you everyone for your interest in Coca-Cola FEMSA. As always we are always available to answer as many questions as you may have. Thanks so much.
Operator: And this does conclude today's conference. We thank you for your participation. You may now disconnect.